Executives: Karen A. Fletcher - Vice President of Investor Relations Nicholas C. Fanandakis - Chief Financial Officer, Principal Accounting Officer and Executive Vice President Ellen Kullman - Chairman, Chief Executive Officer and Chairman of Strategic Direction Committee
Analysts: P.J. Juvekar - Citigroup Inc, Research Division David L. Begleiter - Deutsche Bank AG, Research Division Brian Maguire - Goldman Sachs Group Inc., Research Division Frank J. Mitsch - Wells Fargo Securities, LLC, Research Division Mark R. Gulley - Ticonderoga Securities LLC, Research Division Donald Carson - Susquehanna Financial Group, LLLP, Research Division Duffy Fischer - Barclays Capital, Research Division Mark W. Connelly - Credit Agricole Securities (USA) Inc., Research Division Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division Kevin W. McCarthy - BofA Merrill Lynch, Research Division Edward H. Yang - Oppenheimer & Co. Inc., Research Division John P. McNulty - Crédit Suisse AG, Research Division
Operator: [Audio Gap]
Karen A. Fletcher: the statements, and I direct you to Slide 2 for our disclaimers. All statements that address expectations or projections about the future are forward-looking statements. Although they reflect our current expectations, these statements are not guarantees of future performance but involve a number of risks and assumptions. We urge you to review DuPont's SEC filing for a discussion of some of the factors that could cause actual results to differ materially. We will also refer to non-GAAP measures and request that you please refer to the reconciliations to GAAP statements provided with our earnings news release and on our website. And finally, we've posted supplemental information on our website that we hope is helpful to your understanding of our company's performance. It's now my pleasure to turn the call over to Ellen Kullman.
Ellen Kullman: Great. Thank you, Karen. DuPont turned in a strong third quarter with underlying earnings of $0.69 per share. Double-digit sales increases in all segments and regions and our relentless focus on execution contributed to these outstanding results. Our Agriculture and Nutrition & Health segments, which represent nearly 1/3 of DuPont annual sales, benefited from strong secular demands related to food and production agriculture. Latin American volume was up 17%, with a strong start to their planting season and demand for our high-performing products and services. Auto builds were up 5% in the quarter, but we saw an interesting dynamic with respect to the 2 businesses that primarily serve that market. Performance Coatings grew volume 4% on part due to higher OEM build rate, while at the same time, Performance Polymers had a volume decline with automotive supply chain destocking to ensure lean inventories at year end. Industrial markets were mixed with certain businesses very strong and others experiencing a pause as customers wait for a clearer view of the economy to emerge. Against this backdrop, we executed very well, capitalizing on certain growth markets, our strength and innovation and aggressive productivity. These were major contributors to the quarter. We continued to strengthen our position versus secular themes in agriculture, nutrition, alternative energy, safety and protection. We've expanded our footprint in the developing markets, which represents about 1/3 of the company's sales year-to-date. We remain focused on customers in all our markets, delivering high-value products and services, now all the while, understanding downstream demand signals and planning accordingly. We remain focused on productivity and are well ahead of our 2011 goals of $300 million in benefit in each of fixed cost and working capital productivity. [Audio Gap]
Nicholas C. Fanandakis: environment.  Now I'd like to review the details of the quarter, pointing out our accomplishments versus goals, starting with Slide 3, which is a summary of earnings per share and sales results. Earnings per share were $0.69 on an underlying basis, compared to $0.40 in the prior year. Consolidated net sales of $9.2 billion were up 32% versus the prior year, comprised of 15% positive local price, 12% benefit from portfolio changes, which primarily related to the Danisco acquisition, 4% currency benefit and 1% volume gains. All segments had double-digit sales increases. Volume was especially strong in our Ag segment, with a strong early start to the sales season in the southern hemisphere. Local currency prices were up double digits in all regions, continuing to reflect our strong pricing discipline. Now let's turn to the corporate view of the third quarter, looking at earnings per share variance analysis on Slide 4. Starting with price and variable costs, the quarter showed a net benefit of $0.37 per share. This reflects the difference between price and variable costs, excluding the impact of currency and volume. Driven by our innovation and pricing discipline, we continue to be successful implementing price increases by pricing our new products for the enhanced value that they deliver.  Excluding volume, currency and portfolio impacts, third quarter raw material energy and freight costs were up about 17% versus last year's third quarter. For the full year, we expect this to be an increase of 12% to 13% over 2010, with significantly higher costs again in the fourth quarter. We don't expect to see the impact of moderating raw material prices until 2012. Volume improvement resulted in incremental earnings benefit of $0.07 per share compared to the previous year. This excludes the impact of Danisco, which is shown separately on the chart. Ag volumes were especially strong this quarter, with an early start to the southern hemisphere season, and on a year-to-date basis, total company volumes are up 4%. Continuing with the variance analysis, let's move to fixed cost. Excluding currency, volume and portfolio impacts, fixed cost reduced earnings by $0.21 per share versus last year. This includes actions in the third quarter to support growth such as investments in ag, the new Kevlar plant at Cooper River, TiO2 expansions along with R&D and specific marketing initiatives. As we told you during our Investor Day last December, we will deliver another $300 million of fixed cost productivity in 2011, and we are on track to meet this commitment with actual fixed cost productivity of more than $250 million through the third quarter in 2011. Year-over-year, currency has been benefit of $0.008 in the quarter and $0.16 year-to-date. At current exchange rates, currency should be neutral in the fourth quarter versus our previous expectation of a $0.04 tailwind. Next, exchange gains and losses was a negative $0.05 variance in the quarter. Our goal continues to be achieved 0 after-tax impact from our balance sheet hedging program. However, in the quarter, there was significant volatility in exchange rates which created a reduction in earnings. As is typical, the reconciliation is on Schedule D in the earnings news release. It shows you the exact impact our hedging program had on earnings, as well as the effective tax rate. Higher shares outstanding reduced earnings by $0.02 this quarter. During the quarter, we continued our long-standing practice of offsetting the share dilution from employee compensation and bought back 8.8 million shares, which is nearly 1% of the total shares outstanding. There was minimal impact on the shares outstanding this quarter since the buyback was not completed until late September. Income tax on the earnings per share waterfall is a positive $0.05. The base tax rate this quarter was 18.5% versus 24.1% in the third quarter of 2010. However, we continue to expect our full year tax rate to be about 21%. Next, on the waterfall is Danisco, a benefit of $0.04 on an underlying basis. As you can see on Slide 16, we now expect an underlying earnings contribution of about $0.07 for the full year 2011. This includes additional interest expense and amortization expense associated with the acquired intangible assets, as well as some integration costs that are not included in our accrual for onetime items. We estimate that Danisco will dilute earnings per share on a reported basis by $0.16 to $0.18 this year. This includes underlying results plus significant items of $0.23 to $0.25 associated with transaction and cost to achieve synergies. We recorded significant items of $0.13 per share charge this quarter plus $0.08 per share in the second quarter for a total of $0.21 year-to-date. The last point on the earnings per share waterfall chart is Other, which shows a negative $0.04 variance. This is principally due to reduced farmer earnings, which were $70 million this quarter versus $111 million prior year. Our full year 2011 estimate for farmer pretax earnings is now about $270 million, approximately $220 million less than what we received in 2010. There's a graph depicting sales by geographic region on Slide 5, and you can see that we delivered strong performance in developing markets, with sales up 38% in the third quarter and 32% to date -- year-to-date. Turning now to the balance sheet and cash on Slide 6. Third quarter free cash flow was a $605 million inflow of capital, partially offset by higher capital spending for expansion projects. At the end of the third quarter on a 12-month trailing basis versus third quarter 2010, we were able to increase net working capital turnover by 11%. This is excluding Danisco impact, thus, reducing our working capital needs in line with our commitment to deliver $300 million of productivity this year. Our strong balance sheet continues to serve us well. We value our A2 credit rating, and we work hard to maintain the associated metrics that support that rating. We announced our 429th consecutive quarterly dividend last week. Our long-held strategy has been to maintain a strong balance sheet and return excess cash to shareholders unless the opportunity to invest for growth is compelling. So in summary, for the third quarter, you can once again see the strength of the results that our diversified portfolio delivered. As we transform our portfolio, more market-driven innovation businesses and with reduced impact from cyclical businesses, we continue to deliver these superior results. For our full year 2011 outlook, DuPont's leadership team remains confident in our business plans and our ability to execute against those plans. As such, we are increasing our guidance from a range of $3.90 to $4.05 per share to the upper half of that range, with new guidance of $3.97 to $4.05 per share, excluding significant items. The main driver for this increase is stronger third quarter business results, especially in ag and developing markets. So with that, I'll now turn the call over to Karen to review the segment results. Karen?
Karen A. Fletcher: Thanks, Nick. Let's start with Agriculture on Slide 7. We are continuing another great year for our Agriculture businesses with strong third quarter results. Sales of $1.4 billion grew 41%, with volume gains of 26% and price gains of 15%. These outstanding results were broad based and led by a strong early start to the Latin American summer season. The seasonal PTOI loss of $69 million reflects increased sales offset by growth investments and the impact from divested businesses. We estimate about $80 million in sales shifted from fourth quarter to the third quarter, with an associated earnings impact of about $0.05 per share. Focusing on individual businesses, let's start with Crop Protection. Sales of $596 million were up 27% on double-digit gains in all segments. Rynaxypyr insecticide continues to lead the portfolio growth. We are raising our full year sales estimate for this blockbuster product to over $575 million, representing an increase of more than 40% in a single year with continued share gains in insect control. From a regional perspective, double-digit volume gains were posted in each region, but Latin America stood out, delivering over 30% growth, with particularly strong demand in specialty crops and sugarcane. Moving to the Seed business, sales were $772 million, up 56%. The quarter primarily reflected a successful early start in Latin America. Our teams there mobilized quickly and responded well to the significant increase in corn hectares, delivering both volume and price gains. In soybeans, we expect hectares to be up modestly and our sales to be up double digits on both volume and price gains. Our strategy in Latin America is paying off. We have a great sales model, strategic production assets and locally developed top-performing products. This holistic plan is supported by many years of investments we've made in the region that are clearly resulting in growth today and will continue to support the business in the years ahead. Turning to a brief update on North America. During the third quarter, both Optimum AcreMax and AcreMax XTRA products received EPA approval for integrated and reduced refuge, adding to our many regulatory successes over the past several months. Farmers managed many complexities, with insect protection and refuge management just a couple of examples. The Optimum AcreMax family of products is important because it provides our growers the convenience of an integrated refuge while maintaining the same high-yielding performance they are accustomed to. Optimum AcreMax XTRA product will supplement our successful 2011 launch of Optimum AcreMax 1, while enhancing our "Right Product, Right Acre" approach to the market. Optimum AcreMax is the industry's first integrated and reduced refuge for the doubles market, focused on aboveground insect protection. Finally and most importantly, we're excited about what our growers are seeing during the harvest, which is now coming to a close. They are seeing consistent, high-yielding product performance from our product lineup, confirming another reason we continue to gain position in the market. We look forward to providing a summary of the North American harvest in mid-November. Moving now to the segment full year outlook. With 3 quarters behind us, we are raising our full year expectations. We expect to deliver mid-teens sales growth, coupled with earnings growth in the low 20s. As we move to our 2012, the fundamentals for agriculture remain positive. We'll relentlessly focus on helping our farmers drive productivity to rebuild global stocks, helping them to meet the needs of a growing world. Now let's turn to Slide 8 and Electronics & Communications segment. Sales of $841 million improved 20% compared to the same period last year, with 8% lower volume and 28% higher prices of which 24% was metals passthrough. Pretax earnings of $99 million were $27 million lower than the same period last year, reflecting inventory destocking in photovoltaics and softening in plasma displays and packaging graphics. As expected, PV sales were down in the quarter due to an excess of inventory in the supply chain. We now believe that these excess inventory levels will continue through year end, and it will be early 2012 before inventory is correct and we see a rebound in manufacturing. We've seen PV volumes up 12% year-to-date. For fourth quarter, Electronics & Communications sales are expected to be slightly below prior year, driven by continued destocking in PV and slowing in consumer electronics, with earnings down significantly on lower volume and mix. Now let's turn to Slide 9 and Industrial Biosciences. Segment sales of $293 million reflect a full quarter of Danisco's enzyme business and DuPont's commercial biomaterials business. We saw strong volume growth in enzymes, especially in animal feed with new product launches. This segment had PTOI of $34 million this quarter, including about $4 million amortization expense associated with the acquisition and $3 million in integration costs that were not included in the significant items on Schedule B of our press release. While sales will be slightly lower in the fourth quarter due to normal seasonality in enzymes, we continue to see good growth across these product lines and expect to end the year with PTOI margin in low-double digit. Turning now to Slide 10 and our Nutrition & Health segment, which encompasses enablers, bioactives and Solae soy ingredients. Sales of $844 million grew 17% with the acquisition impact from Danisco's specialty food ingredients business, coupled with volume and price gains of 4% and 6% respectively on the DuPont legacy business. Earnings of $55 million reflected sales more than offsetting higher cost, including the cost of integration and about $22 million amortization expense associated with the acquisition. Solae soy product sales were up moderately, reflecting both volume and price improvements over the same period last year. Importantly, a business-critical mission to enhance product mix towards specialty soy offerings is progressing well as the specialty soy business delivered double-digit growth in the quarter with the continued penetration into health-related product. The acquired businesses of bioactives and enablers grew on a pro forma basis of about 14%, underpinned by favorable currency, pricing gains and volume growth. The volume growth was led by cultures and sweetener product lines. During the third quarter, our teams continued their focus on growing the business as well as executing the integration. On the integration front, teams are driving both cost synergies as well as sales synergies. Moving to the outlook. We continue to anticipate fourth quarter sales of $800 million to $900 million. Our ongoing expectation for top line growth of the combined segment is high-single digits. Fourth quarter earnings will increase with higher sales, offset in part with raw material increases, about $22 million of amortization expense associated with the Danisco acquisition in addition to growth investments and other onetime integration costs. Pretax margins will be mid-single digits, inclusive of purchase accounting. Let's turn to Performance Chemicals on Slide 11. Sales of $2.1 billion increased 28% due predominantly to price. Importantly, the increase in price was double digits for both our titanium dioxide business and our chemicals and fluoroproducts business. TiO2 and flouropolymers were the standouts this quarter, and we sold every pound we could make. Meanwhile, refrigerants and industrial chemicals saw declines in volume due to economic slowing principally in Europe and the United States. Turning to the bottom line. PTOI more than doubled to $593 million, demonstrating the robust earnings power of this segment. For the fourth quarter, we expect sales to be up significantly and PTOI to be up substantially. The global economic uncertainty continues for the seasonally light fourth quarter, and we see a slowing of demand across all major product lines. Still, the fundamentals of TiO2 are as healthy as ever, with increasing population growth and growing use per capita, and our segment performance will continue to be strong. Now let's turn to Slide 12 and Performance Coatings. Sales of $1.1 billion increased by 17% on 13% stronger pricing and 4% higher volume. Including currency benefits, this segment achieved double-digit pricing increases in all of its major market segments. Sales volumes were also up in all major segments with the strongest growth in heavy-duty trucks in North America. PTOI of $72 million increased $8 million led by refinish, with benefits from stronger sales partially offset by 10% higher raw material energy and freight costs. For the fourth quarter, we expect segment sales to be up moderately year-over-year with earnings up modestly. Auto builds are forecast to be up 5% in the fourth quarter, with full year global builds expected to be up about 4%. This segment expects continued raw material price pressure and anticipates actions in all market segments to maintain and improve margins. Turning now to Slide 13 and Performance Materials. Sales increased 11% with 18% in price more than offsetting a 7% drop in volume. Price increases covered rising ingredient costs this quarter. Channel destocking was evident in each region and impacted all Performance Polymers market segments. Auto OEM rebound and demand, post the Japanese earthquake, was offset by channel destocking and softening in consumer and industrial markets. Packaging and infrastructure demand was stable, while ethylene copolymers production-related supply issues, which began in the first quarter, were resolved early in the third quarter. Segment PTOI dropped 18% due primarily to lower volumes. For the fourth quarter, Performance Materials sales are expected to be up moderately with flat PTOI. PTOI would be up substantially without last year's onetime $31 million gain. Turning to the market view. Auto OEM builds are expected to grow 5% globally in the quarter, and we expect stable packaging markets with some continued softening in industrial and consumer market segments. We foresee raw material costs like butadiene and ethane to remain elevated. Moving now to Slide 14. Safety & Protection sales climbed 15% on higher selling prices combined with the MECS acquisition. Volume was flat overall with industrial market destocking in sectors such as chemical protection and energy solutions. Public sector demand was lower given reduced government spending worldwide. Automotive and aerospace were bright spots in the quarter as our product's high strengths to weight ratio provides advantages in fuel economy and durability. On a regional basis, Europe and Latin America volumes offset declines in the United States and Asia. PTOI of $118 million was down 12% due to increased growth spending, including the Cooper River startup and weaker mix in protection technologies. For the fourth quarter, we see pockets of destocking but continued strength in automotive and aerospace. As a result, S&P sales are expected to be up significantly and PTOI up substantially compared to easy comps in the fourth quarter 2010. Additionally, we are rolling out our latest Kevlar AP product in automotive hoses, belts and fiber optic cable, giving our customers enhanced performance and improved cost effectiveness. So this concludes our segment reviews, and now I'll turn the call back to Ellen.
Ellen Kullman: Great. Thank you, Karen. We continue to stay close to our customers across all markets and geographies, and by doing so, we collect the information we need to help us better evaluate the demand signals and importantly, distinguish between underlying demand and destocking. Now I'd like to share some perspectives on the geographic markets, followed by some comments on some of the broader markets like electronics, automotive, industrial and agriculture. In North America, we see a slow recovery continuing. While there are issues of unemployment and weak consumer confidence, there are also some positive signs such as rising retail and automotive sales. Personal savings rates have normalized and credits begun to grow. Industrial production is growing in the manufacturing sector, and DuPont sales volumes were flattish this quarter, which we view as a pause with gradual recovery likely to resume in 2012. Recovery has been slower in Europe except for Germany, which had experienced a strong export recovery. There are parts of Europe that are in or near recession, and our own results for the third quarter indicate a very mixed bag. Volumes in Western Europe were down, while volumes in developing Europe, Middle East and Africa were up. We see pockets of opportunity in agriculture, nutrition, automotive markets and developing countries that are focusing on where the growth in these markets are and the subregions are very specifically. Our Latin American growth outlook is positive for DuPont. We expect about half our 2011 sales in Latin America will be in the agriculture and nutrition and health segments, and we're positioned for growth in these segments. Finally, we remain positive on Asia. We expect a soft landing in China, with GDP growth next year around 8%. There are certainly pockets of concerns such as inflation and currency effects, although these are outweighed by the positive impacts of growing local demand. We remain bullish on the continued growth prospects in that region. Now let's shift to the broader markets. We expect robust ag fundamentals for the long term, driven by population growth and desire for more protein and healthier foods. These market trends can only be satisfied through innovative products that deliver greater value to the grower and the consumer. Today, DuPont has positive momentum coming from a strong planting season underway Latin America. At the same time, our sales reps and agronomists are working with farmers in Europe and North America during the fall harvest to make decisions for the 2012 planting season. These intimate conversations allow us to position the right product on the right acre, thus, optimizing farmer productivity and profitability for next season. Global auto builds are expected to be up 5% in the fourth quarter with positive momentum in 2012, and while there may be destocking in the fourth quarter, the underlying demand signals point to volume growth next year. Electronic markets are soft right now, and as the upcoming holiday season plays out, we can better assess supply chain inventories and underlying demand heading into next year. Longer-term photovoltaic market should continue on a pace of growth of about 15% to 20% compounded annually, although we expect this growth trajectory to remain lumpy. And finally with regard to titanium dioxide, the industry is now in its seasonally slow fourth quarter. We expect to see customers to be conservative and manage their year-end inventory in the uncertain economic environment. The pause we experience now is most evident in China given their actions to tighten fiscal policy and combat inflation, but if we look at TiO2 volumes sold in Asia, they're up only slightly year-over-year. As we normally do, we'll take advantage of this seasonally low quarter to implement preventive maintenance at our plant sites, which have been running at extremely high sales capacity all year. And we expect to enter 2012 well positioned for the seasonal increase in demand, which usually peaks in the second quarter. As we look ahead with all these factors in mind, it's important to remember that DuPont is a far different company than it was just a few years ago. Our portfolio has changed most recently with the addition of Danisco, and if you think about it broadly, nearly 1/3 of the company's sales are in Agriculture and Nutrition & Health segments on a pro forma basis for 2011 and compare that to roughly one quarter in 2008. We have further shaped the portfolio with restructuring including the permanent shutdown of certain underperforming assets, and if you add it up since 2008, we divested non-strategic assets with about $400 million in annualized sales. In addition to shaping the portfolio, we are executing well. Innovation remains the backbone of the company with an arsenal of new products that deliver higher yields, healthier and better food, more efficient solar cells, more energy-efficient vehicles, new applications for personal protection just to name a few. 31% of last year's sales were from new products that were 4 years old or less, and productivity continues to be a way of life. We implemented $1 billion in fixed cost productivity in 2009 and expect an additional $900 million between 2010 and 2011. We implemented working capital productivity of a similar magnitude. Based in part on our innovation and productivity success, segment margins excluding pharma are 230 basis points higher year-to-date compared to the first 3 quarters of 2008. Today, DuPont is well positioned to navigate uncertain times. We stay close to our markets, plan for short-term contingencies and continue to execute well. Our best is yet to come. Karen, I'll turn it back to you for questions.
Karen A. Fletcher: Okay, great. Thank you. John, let's open the lines up for questions.
Operator: [Operator Instructions] And our first question comes from P.J. Juvekar from Citi.
P.J. Juvekar - Citigroup Inc, Research Division: Most slowdowns or recession started in inventory destocking, and you're beginning to see that in Electronics and Performance Materials. So what's your comfort level that this is just destocking and not something much worse? And if it is, then what are the contingency plans to cut cost?
Ellen Kullman: P.J., I'd tell you we ask ourselves that question all the time. I think one of the biggest changes that we've made since 2008 is to really get downstream and understand, not just what our distributors or converters are telling us, but what the real demand is, and let me use like photovoltaics as an example. The biggest difference that occurred in the last 3 months is our understanding of the inventory in that channel, and that's why we are saying that the fourth quarter's going to be slower than we were thinking a quarter ago and that a recovery will occur in the 2012. So -- but everybody is cautious. There's a lot of lack of confidence going on out there. And I mean we see that, the other example I'd give you is in automotive where builds were up. We saw positive volume in OEM paint and saw negative volume or destocking in polymers, and it's -- we're building the same amount of cars and penetration rates are very similar. So the difference is the confidence factor there. So I think I'd go back to the biggest difference is our ability to get the information, our ability to use that and convert it into action and take it to the bottom line from a productivity standpoint and keeping focused on those programs. But I'll tell you, this is something that our leadership team is dealing with and focused on day in day out because we want to make sure that we're there for our customers who have volume needs and that we're taking the appropriate actions if volume is a little light. So it's a daily focus.
P.J. Juvekar - Citigroup Inc, Research Division: And you mentioned that photovoltaics is slowing down, and that's especially true now that subsidies in Europe are likely to get cut with the economic troubles there. Is that factored into your forecast?
Ellen Kullman: Oh, yes, certainly. If you take a look at it, the volume for the materials and photovoltaics is starting to shift from Europe into Asia as the builds are going on and more prominently in Asia, and we see that in our regional buildout. All -- as we take a look at the market and the market forecast, we put in all of the kind of impact on subsidies. Now if you take a look at it, when these subsidies come down, a lot of times the economics are matching with the reduction in price on the modules, and so then the economics of the installation is not really changed. And so all of these things we've taken into account. But I think the biggest difference is that it is not that the installs are slowing down. The builds are slowing down because of the inventory that's been built up in the channel, and so we as we dissect that -- and we spend a lot of time on that in the last 3 months -- we're pretty confident in that 15% to 20% growth rate long term. Just to give you a look on the year, we're pretty confident that the data on installs of 18.8 gigawatts is right. What we did not have as clear a view on in July as we do today is the amount of inventory, the number of gigawatts in inventory. Back in July, it was looking more like 4 to 5. Now I've seen ranges as high as 9 in inventory, and that's why we think that the -- it will impact the production schedules there.
Operator: Our next question comes from David Begleiter from Deutsche Bank.
David L. Begleiter - Deutsche Bank AG, Research Division: Ellen, just on TiO2 in terms of pricing, you're talking about probably 35% price increases this year. Can you discuss how you would balance the needs of the customers who are pushing back more so with your desire and need to raise prices given the higher ore cost and the structural tightness of the market?
Ellen Kullman: Yes, I think that this is the market that's really well understood from a classic commodity capacity, demand capacity situation. It's clear that import costs are rising, but at the same time, price is normally dictated by availability and capacity utilization of the assets. In the last couple of years, I guess since 2008, there's been 5% capacity taken out of the high-end pigment market. So we're dealing with less capacity today for the high-end product than we did 3 years ago. You always have to balance those things, but the one thing that's clear is that we know that it's a commodity, and it will come and go and it has over the years, and the most important part for us is to continue to focus on the long-term fundamentals, continue to focus on our advantage manufacturing process technology and continue to work with customers. Advance notice is a really important thing in that industry, so they can help deal with it as well. But as you know, personally, in the '90s, I sat on both sides of a TiO2 cycle, so I understand it from that perspective. We've always taken a long-term look on this business, and we'll continue to do that.
David L. Begleiter - Deutsche Bank AG, Research Division: You think you can raise margins again next year in TiO2?
Ellen Kullman: We'll see as it plays out. We think that the fundamentals are still there and that the market will basically dictate that depending on what happens as we come through this season next year, which will peak in the second quarter.
Operator: Our next question comes from Edward Yang from Oppenheimer.
Edward H. Yang - Oppenheimer & Co. Inc., Research Division: Ellen, you've had a banner year in terms of pricing and certainly in the third quarter as well. But with volume slowing down now, what are your expectations for pricing broadly for next year?
Ellen Kullman: First and foremost, I go to our new products and our innovation. Outside of metals passthrough and Solamet paste and the industrial chemicals businesses, which tend to have more passthrough or cyclical nature to them, all of our other businesses are priced to value for the customer. And we continue to focus on research and development and innovation because the new products we bring out have to have more functionality, have to have more value. We see it in the ag business with our white vary [ph] soybean and the AcreMax, we see it in Nutrition & Health, and so I think that's the important part of it, is certainly the economics do have an impact on it, but I think that we continue to focus on the positive innovation that our customers really rely on us for. It's going to be the largest dictate as to what the future pricing can be.
Edward H. Yang - Oppenheimer & Co. Inc., Research Division: If volumes are flattish to up low single digits, do you think you could get pricing in the low-single digits as well next year?
Ellen Kullman: I think you can talk market to market, but I think I go back to my previous answer, which said that it depends on the innovation. And if we continue to innovate, I think we'll be successful there.
Operator: And our next question comes from Don Carson from Susquehanna.
Donald Carson - Susquehanna Financial Group, LLLP, Research Division: Just one extra to continue on the price variable cost spread you've had -- actually were up this quarter, $0.37 positive spread versus $0.34 before. You've talked a bit about the pricing outlook, but what about the raw material side? I mean you've got a lot of raws that appear that they've got continued upward momentum whether there titanium ores, seed costs or ethane and butadiene. So what's your outlook for raw material costs? Nick, you talked about the fourth quarter but I'm just wondering about your view on 2012 more broadly and your ability to maintain a positive spread between price and variable cost.
Ellen Kullman: Nick?
Nicholas C. Fanandakis: Don, let me answer that this way. I'll reiterate a little bit of what Ellen just said. When you look at our pricing and how we determine our pricing with our customer base, it's really driven by the value we're bringing to our customers, and that value is coming through the innovation. So it's not fully really connected to the raw material side in many of our businesses. On some, as Ellen pointed out, there is that connection, but in most, it's independent of that raw side. But specifically to the raw material question, you're asking, Don, you've seen the increase year-over-year by quarter continue to go up as the year has unfolded. We had like 8% in the first quarter. We went up to 13% this quarter. It's 17% year-over-year, and I'm expecting the next quarter to be about a 14% increase year-over-year. It's going to give us about that 13 percentage point increase for the full year basis. As far as next year goes, Don, I'm going to be talking a lot more detail around that at our December Investor Day, and we'll be sharing with you what our current thinking is around raw materials as the 2012 unfolds. But keep in mind, as 2012 unfolds, we'll continue to be bringing that innovation to the market and bringing the value to our customers that will really be the determinant around our pricing and allow us to maintain that spread that we've, as you pointed out, been able to continue now for several, several quarters.
Operator: Our next question comes from Jeff Zekauskas from JPMorgan.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: One of your goals is to improve your working capital, and year-over-year, your receivables are up about $1 billion, and your inventories are up about $1 billion. And you've had a -- and so you've had a much larger use of working capital this year than last year. In the fourth quarter last year, your positive working capital change in the fourth quarter was about $3.5 billion. So should you be up over $4 billion in the fourth quarter? I know you have this $300 million target, but that seems pretty small in the light of some of the inflation you've had in receivables and inventories. So you can you talk about your fourth quarter working capital change?
Nicholas C. Fanandakis: Well, when I think about the working capital and the improvements we're making there, I actually look at it on a full year basis because you do have seasonality involved with many of the DuPont, much of the DuPont portfolio. So for instance, in the fourth quarter ag, you're going to see tremendous reduction in receivables in that time period. So you got to look at it, I think, Jeff, on a full year basis versus any one quarter. And on a full year basis, when you look at the working capital increase that we're going to have versus the sales increase that we're having in the same period, you're looking at something in the low 20s type of a sales percentage increase. When you look at that and the working capital that we're talking about, you're going to see productivity, as I mentioned, 11% type productivity, which is well on the path of realizing the $300 million working capital productivity that we had projected. Couple that with the fact that we now have Danisco in those numbers that you're seeing, I think it bodes well for the work we've done and continue to do around working capital productivity gains.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: All right. If I can just try one follow-up, last year, Monsanto SmartStax didn't really perform all that well relative to some of their other products and relative to your corn lineup. Do you feel that they're catching up this year? Or how do you feel -- I know it's early. How do you feel about your corn product line right now versus the competition and perhaps some positive changes that are going on there?
Ellen Kullman: Sure, Jeff. I'll take that one. It's Ellen. So we're right in the midst of working out in the fields on 2011 harvest. I was out there a couple of weeks ago, and I guess the words I would use or I'm hearing from our teams is it's consistent, it's stable and it's high yielding. So there are really no surprises. I think it looks good for supporting a very good 2012. I continue to be very impressed with the work that the teams are doing on the Right Product, Right Acre strategy. I don't think we've ever been stronger. I mean, I think we continue to build and really focus on that farmer productivity and profitability, and so I think that the new additions we have with the lineup this year, I think are going to really create additional momentum for us. It is a competitive field. We know that, and we have to work hard every day out with our customers to earn our place. But we have a top team. We have that intimate channel, and I'm really excited about that prospect.
Operator: And our next question comes from Bob Koort from Goldman Sachs.
Brian Maguire - Goldman Sachs Group Inc., Research Division: This is actually Brian Maguire, on for Bob this morning. Just want to talk about Performance Materials for a second. It looked like the PTOI was down about 18% year-over-year in the third quarter, but if I heard you right, your guidance for the fourth quarter, if you exclude the $31 million gain from the fourth quarter of '10 is accounted for about a 17% increase in PTOI, and that implies about 150 basis point increase in margins. So I just wanted to understand if those numbers were right and what kind of is driving that big rebound in margin and PTOI trend there.
Ellen Kullman: I'll start and I can have Nick weigh in. I think your numbers are pretty close to being right. I mean we saw destocking, as I mentioned in my talk, in the automotive side, which wasn't consistent with the auto builds but nonetheless occurred. I think on their consumer and electronics side, there was some soft demand there. Pricing covered raws, so that was a positive, but they had volume reductions in that. So I think as we look forward, the big question is how much of that destocking has occurred and/or is further going to occur. We look at the auto demand and where we think stocks are there, and we think we're going to have a reasonable fourth quarter. And so I think that when you add it all up, it's how the numbers play out. I mean and so I think that on the other side of it, packaging is pretty stable business. What would you add, Nick?
Nicholas C. Fanandakis: The only thing I'd add, Ellen, is I think you characterized it right on when you look at what's going on in the auto rebound, the end of the auto destocking in North America, we see that bouncing. But the other thing that you have to keep in mind for the third quarter for Performance Materials is that there were some onetime items in the third quarter of last year that represent about 200 basis points of the drop in margin that you're seeing year-over-year in the third quarter. So you got to dial that into account as well, Brian.
Brian Maguire - Goldman Sachs Group Inc., Research Division: And then I just want a follow-up if I might. It looks like you took up the pharma guidance a little bit, and that maybe would add a couple of pennies to what you might have expected beforehand and the share count was a little bit lower. So combined that might be about a $0.05 of EPS benefit. So I just curious what's going to hold you back from raising the top end of the guidance range here.
Nicholas C. Fanandakis: So let me answer that one, and when mean you look at the -- what we're doing on the guidance now, we raised the low end by $0.07 per share. We raised the midpoint by $0.04 per share. I think the increases that you're seeing us doing really represent the strong underlying performance that we are experiencing in our businesses, and it's very much in line with our expectations that we had in place. Keep in mind a couple of other things, Brian. When you look at the $0.13 earnings per share that we were above the street's expectation, and you dial in the $0.05 on the Ag side that we're talking about from quarter 4 that showed up in quarter 3. Along with my comments around currency, we were anticipating in our numbers, and we had given you guidance of a $0.04 benefit on currency in the fourth quarter. Those 2 together give you $0.09, which is that $0.04 we're talking about in our midpoint increase. You can calculate it looking at the street's expectation of $0.52 for the quarter and do a similar type calculation, and you get very much in line with where we are today around our range. So I think no matter how you look at it, it strongly supports the increase in guidance that we've given for the full year now.
Operator: Our next question comes from Frank Mitsch from Wells Fargo Securities.
Frank J. Mitsch - Wells Fargo Securities, LLC, Research Division: Nick, continuing on the Ag side, Nick, you said a $0.05 pull forward into the third quarter. You're seeing an early start to the year down in Latin America, very strong sales. Can you provide more color on specific countries and kind of rank order the crops? I think you mentioned a couple of being particularly good, but if you could give us some more color on where the strength is and what geographies they are very specifically would be very helpful.
Ellen Kullman: So I mean, I think we're seeing a really strong start to the season in corn in places like Brazil and in Argentina, Latin America hectares. Well, I mean, I think that Brazil is up low-double digits. Argentina is up high-single digits from that standpoint. Soy, Brazil, again, just tremendous with the progress that we're making down there. So I mean, I think we see it pretty broad, and we really see the fact that our teams down there are really focused on the new products and Right Acre, Right Product and moving that strategy much more fully to penetrate the marketplace down there. So I think we're pretty happy with the fundamentals. We're pretty happy, well, with Latin America in total. I think it goes beyond Ag and Crop Protection. I think it's broad based. They're Making a real penetration down there with Rynaxypyr, and so overall, I just think that's a market -- the focus that we've given it over the last few years is really paying off.
Operator: Our next question comes from Mark Connelly from CLSA.
Mark W. Connelly - Credit Agricole Securities (USA) Inc., Research Division: Sure. Just to follow on to that, Ellen, do you think that you're seeing a shift to new chemicals come faster with Latin farmers? Or is it the result of your efforts down there? Just as a follow-on. But my main question was I wondered if we can get an update on cellulosic technology. If my memory is right, Tennessee should be commercialized roughly now, and I'm just wondering what the next steps are.
Ellen Kullman: So yes, I think the interesting thing is that farmers want performance no matter where they are in the world, and protecting yield in this environment is the goal. And Rynaxypyr has just -- I don't know how many years it's been out. Five years now? But 4 years now, and we're going to, as Karen said, cover 400 -- about close to $75 million in revenue. That's just a tremendous indication of the value of the product, its efficacy, its low toxicity. It's really very friendly to humans, which is important, and I think the growth this year has been close to 40% on that product alone. So I think we're just really seeing a real tremendous acknowledgment of just importance of these new, low impact insecticides. So on cellulosic ethanol, we are operating the pilot unit. We have talked about our Nevada, Iowa area where we're looking at putting in the full production facility. We'll have a lot more information for you on that area in the December Investor Day. So look forward to -- I got to have some reason for you guys to show up at Wilmington. So I look forward to seeing you there.
Operator: Our next question comes from W. Fischer from Barclays Capital.
Duffy Fischer - Barclays Capital, Research Division: Yes, 2 questions, one, follow-on Latin America, you mentioned a couple times in the commentary and the write-up about kind of meaningful or significant investments in ag during the quarter. Are those discrete breeding operations or is that sales force? Can you kind of talk to the magnitude and the direction of those investments in ag?
Ellen Kullman: Yes, so I think it's both R&D and sales and marketing. We have production facilities down there. I visited them over a year ago, and where the focus has been is very broad based on research and development locally, as well as sales and marketing coverage, very similar to what we did in the United States a few years ago as we increased our coverage there. So it is -- basically, it's a global program. We're just seeing the results of it in Latin America as their seasons come forward.
Operator: Our next question comes from John McNulty from Credit Suisse.
John P. McNulty - Crédit Suisse AG, Research Division: Just a quick question. With regard to uses of cash, it looks like it's been a tough year for pensions overall. So can you give us an update as to how you're thinking about contributions from cash into your pension?
Ellen Kullman: Nick would love to do that.
Nicholas C. Fanandakis: Yes, John, it has been a tough year in that regard. There's no doubt about it. And as you well know, the contributions to pension is driven by the PPA side versus GAAP on the accounting piece of it. When we look at the PPA requirements there around our pension, there's a couple of factors that come into play. Obviously, the discount rate is an important factor and can sway the numbers considerably. And to be honest with you, we are now locked in on our discount rate. We had that locked in, in the September election. And the other factor is the return on the assets, and I've seen the return on assets swing several hundred basis points in a period of 2, 3 months, so it's difficult to pin down exactly what the cash contribution might be for the pension in 2012. But I guess I would say, if I was to look at things exactly the way they are today, John, and assume that nothing changes from a market perspective between now and year end, you're probably looking at something in the range of several hundred million versus anything like $1 billion. So just to give you a sense of where it is. And everything I'm talking about is really the principal U.S. Pension Plan when I deliver those comments to you.
Operator: Our next question comes from Mark Gulley from Ticonderoga Securities.
Mark R. Gulley - Ticonderoga Securities LLC, Research Division: Yes, I wanted to drill down on the pricing dynamics in ag. I think I saw your prices go up by 15% in the quarter, much better than put up by competitors, which are more in the mid-single digits. So does that really include mix along with pricing? Can you talk about that very impressive pricing performance in ag?
Ellen Kullman: Yes, I think you have to take a look at it -- any one quarter, you're going to see some ins and outs, but I think you have to take a look on it overall. This is reflecting the Latin American mix and price and the value-added products we have there. I think if you think about overall in 2011, the Seed business we've been talking about mid-single-digit price increases, the increased value there for the entire year going into it and CPP is trending up. It's positive and I think that has the added attitude of the Seed side of it for the quarter itself. But I think that we're seeing the value of the products, the value and the focus on the customer really coming through.
Karen A. Fletcher: John, I think we have time for one more question.
Operator: Our next question comes from Kevin McCarthy from Bank of America.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: Ellen, your Performance Coatings margins have been quite stable over the past 5 quarters, running 6.5% to 7.1%. What is your level of confidence that you can restore auto coatings margins to the double-digit territory? And if not, perhaps you could comment on potential for divestiture there, as well as broadly throughout the portfolio, there's been some speculation about 2 of your joint ventures in addition to auto coatings.
Ellen Kullman: So one of the things I think that's been limiting DPC this year has been the raw material increases. I mean, energy and freight, I've just seen a lot of increases on their raw on the whole board, and I think that's been a drag on them as they really gone out. And I think they've done a tremendous job with new products and with customers getting improvements. So I think being stable for them in this environment is a very positive thing. So productivity, they continue to focus on it. Fixed costs as a percent of sales is down 110 basis points in the third quarter of '11 versus third quarter of '10. I still maintain and talk into the team there that we can get to a PTOI margin target of 10% next year, and we continue to drive hard on that. And we'll see where it ends up. We just -- John McCool's been there just a year now with the new team. I think they're making great progress, and we'll see where they end up.
Operator: This concludes the Q&A portion of the conference call. I will now turn the call back over to Ms. Kullman for closing remarks.
Ellen Kullman: Great, thank you. So just to recap what you've heard from Nick and me this morning, DuPont's financial health and growth potential are both excellent. We have a strong balance sheet, cash position, cash flow from operations and excellent liquidity. We're paying our shareholders a dividend yield of 4% and are proud of the 429 quarters of uninterrupted dividends. With respect to growth, we have an ever expanding profiled in Ag and Nutrition & Health, well positioned in Safety & Protection, Electronics & Communications and have innovative solutions that reduce demand on fossil fuel. We are geographically diverse with an R&D pipeline that is strong and productive across all segments, and we remain focused on productivity and are well prepared to work through short-term challenges and be well positioned in our markets as they begin to improve. So I look forward to sharing our 2012 expectations at our Investor Day here in Wilmington on December 12 and 13, and I want to thank you again for joining our call today.
Operator: Thank you, ladies and gentlemen, this concludes today's conference. Thank you for participating. You may now disconnect.